Operator: Please standby, we are about to begin. Good day, everyone, and welcome to the MasTec's third quarter 2008 earnings conference call initially broadcast on November 6, 2008. Let me remind participants that today's call is being recorded. At this time, I would like to turn the conference over to your host, Mr. Marc Lewis, MasTec's Vice President of Investor Relations. Please go ahead, sir.
Marc Lewis: Thank you. Good morning, everyone. Welcome to MasTec's 2008 third quarter earnings conference call. The forward-looking statement is made pursuant to the Safe Harbor for forward-looking statements described in the Private Securities Litigation Reform Act of 1995. In these communications, we may make certain statements that are forward-looking such as statements regarding MasTec's future results, plans, and anticipated trends in the industries where we operate. These forward-looking statements are the Company's expectations on the day of the initial broadcast of this conference call and the Company will make no effort to update these expectations based on subsequent events or knowledge. Various risks, uncertainties, and assumptions are detailed in our press release and filings with the Securities and Exchange Commission. Should one or more of these risks or uncertainties materialize or should any of our underlying assumptions prove incorrect, actual results may differ significantly from results expressed or implied in these communications. In addition, we may use certain non-GAAP financial measures in this conference call. A reconciliation of any non-GAAP financial measures not reconciled in these comments to the most comparable GAAP financial measure can be found in our earnings release on our Investor Relations section of the mastec.com website. In order to make a (inaudible)comparable to two operating results, financial comparisons to last year will be made to perform that income which adds back to $39.1 million charge for legacy legal cases claims and other disputes made in the third quarter of 2007. This pro forma number is reconciled to get in the press release, in that case, yesterday. With us today, we have Jose Mas, our President and Chief Executive Officer and Bob Campbell, Executive Vice President and Chief Financial Officer. The format of the call will be opening remarks and analyses by Jose followed by a financial review from Bob. These discussions will be followed by a Q&A session and we expect the call to last approximately 45 minutes. Jose?
Jose Mas: Thank you, Marc. Good morning and welcome to MasTec's third quarter conference call. First, some third quarter highlights. Revenue for the third quarter was $398 million, our best ever, that is a 30% sequential increase and a 49% increase over the third quarter of 2007. Pre-tax margins were 6.1%, an increase of 33% over pro forma third quarter 2007. EBITDA was $36 million, an increase of 89% over pro forma third quarter 2007. EPS for the third quarter was $0.35 per share, a 94% increase over pro forma third quarter of 2007. Concentration of our largest customer decreased from 47% of revenues in the first quarter of 2008, the 30% for the third quarter as our diversification strategy continued to show strong results. Utility customers accounted for $128 million in revenue for the quarter, a 23% sequential increase and a 140% increase over the third quarter last year. Revenue from DirecTV grew sequentially by 14% and was up year-over-year. Revenue from our top telecommunication customers, AT&T, Verizon, and Qwest all had significant sequential growth and were up year-over-year anywhere from 30% to 257%. Wind power revenue accounted for nearly 10% of total revenue in the third quarter compared to basically 0% in the first quarter. Natural gas revenue accounted for approximately 10% of revenue with solid organic growth from our legacy business. Backlog was up despite record revenues and cash flow from operating activities was $29 million for the quarter, our best quarter in years and a true indication of our improvement and success, all in all, not a bad quarter. Now, let me get into some industry specifics. Our Nsoro markets have a solid quarter and saw sequential 14% growth from DirecTV. That was important considering that the loss of the AT&T relationship with DirecTV had a negative effect on our second quarter. During the third quarter, DirecTV did an excellent job of regaining its momentum in our markets and we expect a strong finish for the balance of 2008. As for 2009, we are very excited and encouraged by the recently announced new relationship between AT&T and DirecTV which starts in February and which we feel will have a significant impact not only on our old Bellsouth territories but also in additional AT&T markets that we cover that have never had equal marketing arrangement. Our communications markets had a very good quarter. Revenue with Verizon was up 14% sequentially and up 31% year-over-year. This increase was due to continued success with their buyer's (ph 00:09:04) as well as a new relationship with Verizon Federal. Revenue with Qwest was also strong with a 21% sequential increase and a 51% year-over-year increase. Increased revenues from Qwest primarily related to their increased focus on fiber expansion in their network. Finally, AT&T revenues were up 213% sequentially and 257% year-over-year for two reasons. One, our core AT&T wire line business was up 35% sequentially and 54% year-over-year, and two, our acquisition of Nsoro accounted for nearly $34 million in revenues for the two months that we owned them in the quarter. While we expect wire line maintenance and new construction CapEx to remain under pressure, we believe fiber expansion and deployment will be less impacted. As for wireless, we expect continued growth in 2009 and believe that for year 2009, wireless revenues will, at a minimum, exceed $200 million. Our utility markets continued to show strong growth in results. Utility revenues were $128 million, a 23% sequential increase and a 140% increase year-over-year. Our results were driven by an 11% increase in our core utility revenues and by significant growth in both wind power and natural gas, each of which accounted for approximately 10% of revenues. While our core utility business continues to see market pressure related to housing and maintenance spent, this is partially offset by higher transmission spending and MasTec's improved position to perform and compete in that space. Our natural gas markets performed well in spite of some revenue delays of Pumpco our recently acquired mid-string pipeline construction company. Pumpco was affected by some great delays on a very large project that was set to start in July but did not actually start until late September. Pumpco is now fully deployed in its projects and will go into 2009 with strong backlog. Despite pressure in the financial markets, we continue to see significant demand for our services in the natural gas area and with natural gas prices around $7 per million BTU, we expect that to continue. Our wind power business performed well in the third quarter representing nearly 10% of the total company revenues. We are very pleased with how we have been able to grow this business throughout the year and believed we have solidified ourselves as a major player in this area for years to come. We strongly believe that wind power construction will be a major economic catalyst for the United States as evidenced by the intent of the Obama administration to mandate that utilities generate 25% of their electric power from renewable sources by 2025. We believe that the long term prospects for wind energy continued to be very strong. While we have seen certain customers cut back on their 2009 wind energy plans due to the tightening credit markets, we believe this will be a temporary delay. For instance, although FP&L announced that they will be reducing their 2009 billed to 1100 megawatts, roughly the same numbers in 2008. They also stated they had a backlog of economically feasible projects totaling 25,000 megawatts; a number that exceeds today's total U.S. installed wind capacity. Despite these reductions, power partners is currently involved in RFP's, negotiations, and discussions for 2009 projects that far exceed what we will do in 2008. In summary, we had a great quarter. We expect a strong finish to 2008 and are encouraged about our long-term prospects. We expect the recent financial turmoil and difficult credit markets to have a negative impact on some of our customers in 2009. Despite these difficulties, we expect 2009 to be a good year with solid growth in revenues, margins, and earnings. Finally, our recently announced acquisition agreement with Wanzec Construction has presented us with some challenges. Wanzec is a great fit with our business model and would give us end-to-end capabilities in the growing wind construction market. We had hoped to close this transaction by the end of October, but obviously, the markets have changed dramatically in the past 30 days. We have approximately 60 days to close this deal and are currently reviewing all of our various alternatives. Two points that I would like to clearly communicate. One, we continue to monitor Wanzec's backlog in 2009 projections in light of recent developments. Rest assured we will be comfortable with Wanzec's business prior to closing. Two, we are going to make a responsible decision regarding this transaction. MasTec will not fund these acquisitions solely with equity, act, or near current levels nor will we burden our balance sheet with a significant amount of expensive debt. We have seen some improvement in the financial markets and we will monitor the situation and make a decision that is in the best long term interest of our shareholders. Due to the delay in closing, we have backed out Wanzec's expected fourth quarter contribution and reissued both full year revenue and earnings guidance. It is important to note that our earnings guidance was raised again for the third time this year. In conclusion, we had a great quarter and expect a strong finish to 2008. Our focus on accountability and margin improvement has made us a better and more competitive company. MasTec today is more diversified and we are positioned very well. I will now turn over the call to our CFO, Bob Campbell. Bob?
Bob Campbell: Thank you, Jose, and good morning. As Jose mentioned, our third quarter was an excellent quarter. We remained optimistic for the rest of the year and for 2009. And we remained optimistic about our business even though the economic outlook is much worse today than when we had our call a month ago. My highlights for Q3 are as follows: Q3 revenue was up 49%. It was led by growth in our utilities markets for revenue more than double and as Jose said, it was a record. Our customer concentration and diversification has improved dramatically. DirecTV was down 30% of total revenue for Q3 compared to 44% a year ago and 47% in Q1 this year. Reduction in customer concentration is caused by greater growth rates in wind farm natural gas and wireless revenue even though DirecTV also grew in the quarter. Gross margin before depreciation improved 210 basis points to 15.6%. Q3 EPS was $0.35 for diluted share compared to a pro forma $0.18 last year. That is after backing out last year's $39 million legacy litigation charge from income from continuing operations. Operationally, we had a very strong quarter. Q3 cash flow from operations was $29 million, up substantially from $17 million. We acquired Nsoro, a large wireless infrastructure service provider in August. Our financial condition, liquidity, and cash flow all remain strong. We have revised our 2008 revenue guidance to reflect the delayed Wanzec acquisition closing but we have to increase our 2008 earnings guidance again to $0.93 to $0.96. Now for the details, revenue was up 49% to $398 million and fully diluted earnings per share with $0.35 exceeding our guidance and also the straight consensus of $0.32. Although fuel prices fail substantially after the quarter end, our improved financial performance in Q3 was in spite of very high gasoline and diesel prices. Our gross margin in Q3 increased sharply from 13.5% last year to 15.6% this year. That is a 210 basis point improvement and that is without depreciation. The margin improvement is the result of productivity gains and the impact of mix. Higher growth rates from several of our higher margin businesses, wind farm and natural gas pipeline. Fuel cost continues to be a drag on margins. Q3 fuel cost increased almost $6 million over the last year with an average cost per gallon of $4.12 versus $2.87 a year ago. That is a blended cost of gasoline and diesel. For Q3, G&A expense was stable, up slightly from 6.4% of revenue last year to 6.6% of revenue for 2008 the Q3 2007 percentages per forma without the legacy litigation charge last year. The increased percentage is due to higher bonus accruals reflecting dramatically higher earnings performance. Outside legal fees were just under $1 million this quarter and only $700,000 last quarter reflecting finally the wind down of our legacy litigations that we have been talking about. Net interest expense was up about $1.7 million or $0.03 per share worse due to lower interest rates on temporary investments and lower cash balances due to cash used in acquisitions and business expansion support. For the third quarter of 2008, the ten largest customers were DirecTV, 30%, that is down 47% was from Q1, 44% from last year; AT&T, 15%, of course, the growth was helped by our Nsoro acquisition; Tetra Tech, a wind farm construction customer, 8%; Verizon, 7%; Energy Transfer and Qwest, 3%, EMBARQ, Progress Energy, Pecan Pipeline, and XTO were all 2% each. Regarding diversification, our top ten customers now include one satellite television customer, four telecom customers, one wind farm customer, three natural gas pipeline customers, and one electrical utility customer. Today, backlog is about $1.4 million that is an 18-month backlog number. The comfortable number a year ago was $1.2 billion. Even though we believe that fiber deployment work will last for many years, our backlog includes only the specific work for which we have client visibility. We expect a significant increase in backlogs shortly due to wireless contract currently in the final stages of negotiations. We are especially proud of our strong financial condition and balance sheet and also our cash flow trends. Cash flow from operations was excellent in Q3. Cash flow from operations was $29 million compared to $17 million for the same period last year. Our cash flow continues to be helped by our tax position. Currently, we have a federal tax net operating loss or NOL of a $193 million which we can carry forward against future cash tax liabilities. We expect to pay only a modest amount of state taxes and maybe a minor amount of federal AMT for 2008 and for 2009, maybe up to a couple of million dollars in cash for this year and an estimated $3 million to $4 million for 2009. Then we would be a partial taxpayer in 2010 and finally, we expect to be a full cash taxpayer in 2011. We generally have been bragging on these calls about our accounts receivable, day sales outstanding or DSO's, however, for Q3, our DSO's went up from 59 days last year to 64 days at September 30. The increase is mostly due to unbilled accounts receivable generated by accelerated growth in the Nsoro business. We are working through that issue now and we should have much better Nsoro DSO's by year end. To summarize our cash flow characteristics, I would say this. Earnings are going up from adequate. Collections even at 64 day DSO's are reasonable. CapEx is modest and tax payments are immaterial. Therefore, our cash flow is pretty good. At the end of the third quarter, we had a $151 million in cash availability on our bank revolving line of credit and securities available for sale; $18 million of the cash is restricted. Most of our debt is $150-million 10-year senior notes that we sold last year. The interest rate on the notes is 75% to 80% and the bonds have a 2017 maturity, so, we really do not have much in a way of debt maturities for nine more years. Our recently expanded five-year $210 million bank credit facility has an accordion feature making it expandable to $260 million under certain conditions. The facility has a current interest rate of live work plus 200 basis points or prime plus 50 which seems pretty good in today's credit market. On our September 30 balance sheet, we have $25 million of securities available for sale which are our auction rate securities. We have taken an $8-million life-to-date temporary impairment charge against equity to reflect the estimated market value of these securities. We continue to monitor the market value and liquidity for these securities. In our litigation footnote in the 10 Q, we did disclose that we have filed a binding arbitration claim against Credit Suisse, our investment manager. In our arbitration claim, we are asking that Credit Suisse buyback our auction rate securities at par which is $34 million. Now, for our guidance update. As I mentioned, we have adjusted our 2008 revenue guidance downward to reflect the delayed closing of the Wanzec acquisition. We had previously assumed an end-of-October closing in our guidance and we are now assuming a year-end closing. Therefore, our guidance assumes no one's at financial contribution for 2008. Our 2008 revenue guidance is one $1.325 billion to $1.345 billion compared to $1.38 billion last year. That's a 28% to30% increase. However, we're raising our EPS guidance again now to $0.93 to $0.96 per diluted share which compares to a pro forma last year. That's a 39% to 43% increase in earnings. The pro forma of $0.67 last year is income from continuing operations excluding a $39 million one time legacy litigation charge. Therefore, the $0.93 to $0.96 this year is operationally comparable to the $0.67 a year ago. And actually, the year-over-year operating comparison is even a little more favorable. This year's results include a negative $0.05 charge for additional legacy litigation accruals and last year's results included a $0.04 positive gain on the sale of real estate. Both are one time non-operating items. The EBITDA comparisons are similarly good. Our 2008 guidance in terms of EBITDA is $105 to $109 million compare to a pro forma of $73 million last year. The pro forma EBITDA for 2007 is based on income for continuing operations excluding the $39 million legacy litigation charge. We have slightly lowered our 2008 EBITDA guidance. Our previous guidance had Wanzec EBITDA in the numbers for two months. Our profit margin improvement is also good. The pre-tax profit margin was 4.4% for 2007 and our guidance for 2008 reflects improvement to 4.9%. We have been saying for some time that our short to medium term goal for pre-tax profit margin is in the 6% to 8% range. Two thousand and eight was progressed toward that goal and we foresee getting into our target range in 2009. To give you another data point, our EBITDA margins are also improving. Based on our guidance, it improves from 7% for 2007 to 7.9% to 8.1% for 2008. The margin improvement comes from a combination of revenue growth, growth in higher margin businesses and productivity gains. The company's guidance assumes continuation of today's soft economy and is not dependent on a 4Q recovery. Our guidance also does not include any additional impact of our legacy litigation or any market-to-market valuation adjustments on auction rates securities. These items are excluded either positive or negative. I hope these comments regarding Q3 are helpful. In closing, just to add to what Jose said, we had a great quarter and we expect to have a better ear in 2009. And that's in spite of a soft economy. Our revenue is growing. Diversification is putting more reliability and a greater spread of risk into our business model. We continue to reduce costs and become more efficient and we expect improved earnings and margins. That concludes my remarks. Now, let me turn the call back to the conference operator for the Q&A session. Thank you.
Operator: Thank you. (Operator instructions) And we'll take our first question with Eric Kainer with ThinkEquity. Please go ahead.
Eric Kainer - ThinkEquity: Thank you very much for taking my call and congratulations on really a banged-up quarter here folks.
Bob Campbell: Thank you, Eric.
Eric Kainer - ThinkEquity: First question is really about productivity. Jose, you mentioned it; Bob, you mentioned it and obviously, we saw the impact in gross margins. I wonder a couple of different things. First, if you kind of give us your view as much as how much of the improvement, the sequential improvement in margin, is due to productivity and how much is due to mix. And I understand that that's a difficult question to answer, but whatever you have would be helpful, there. And the second thing is, help us understand how you're using the productivity tool that I think you mentioned back in May of last year, how that's been used across the company. Is it all of these or different work units, and especially how is that spread to some of the new acquisitions that you make?
Jose Mas: A couple of things. I think when you look at the quarter, I think one of the things we're very proud about this quarter is the fact that a lot of our improvements came from existing operations, that we saw tremendous improvement in our core businesses across the board from a growth perspective and from a margin perspective. We don't really break out, obviously, the contributions by each and every business unit, but internally we've looked at it and we're very happy with the progress that we've made in terms of productivity across the board. And I think again one of the most important things this quarter was the strength across all of our business units. It wasn't that one area carried the company; it truly was, across the board our company performed extremely well in the third quarter. I think part of that as we mentioned earlier is we've been really focused on accountability, on improving margins over the course of the last year and a half. I think that the productivity tool that we laid out in early 2007 and have deployed throughout the company is having an impact. I think that's a process that never ends. I'd say we're probably still not even halfway to where we want to be with that process. We've got people using it, but we want to go back and really evaluate how people are using it, what are they deriving from it. So I think we've got some work left to do there but there's no question in my mind that that has impacted us. And in every acquisition that we do and we begin to integrate, we actually do introduce the productivity tool some of the companies that we've bought have a similar program so we're comparing the two and actually trying to pick a best in class.
Eric Kainer – ThinkPanmure : Okay. Great. So it sounds like the improvement and gross margin probably was maybe more from the improved productivity than from mix, although of course both components there. The next question that I had was really about the wire and the Nsoro business. And obviously at the point that you acquired it, that was predominantly AT&T based revenues, and it sounds like, from reading between the lines here that the big project that Bob referenced is probably a non AT&T project and so maybe we can expect better balance between different customers for that business as we roll into 2009. Is that a reasonable expectation?
Bob Campbell: Yes, a couple things, Eric. I think that the wireless area is actually a very exciting area for us. I think it's an area that is changing in terms of how the business is being contracted and who's being chosen. Io thinks that we've said all along that the cornerstone of Nsoro's business and the strength behind Nsoros' business will be driven by AT&T. We have made it clear that we want to grow the customer base and really diversify that customer base. I think you'll see that in 2009. However, I believe that the core of that business and the strength of that business will primarily be driven by AT&T.
Eric Kainer – ThinkPanmure : Okay. Great. And the last question that I had is on seasonality. And specifically, yes, I know you've touched on the seasonality of the wind business before, but also I wonder if you could give anything more on that as well as the Pumpco and the Nosoro businesses and just help us understand how seasonal those businesses are.
Jose Mas: You know, I think they're similar to the rest of our businesses. And as you look at our businesses, they're somewhat different. Each section of the business that we talk about and we cover really has a little bit of different seasonality to it. For example, our DirecTV tends to be a little bit stronger towards the end of the year, because of the retail season. We do see some budget pressures at some of our telco and utility customers towards the end of the year as the new budget cycle takes place. Pumpco specifically does a lot of work in the southwest, predominantly in Texas which is less impacted by weather, so we feel that they will be a less seasonal business to MasTec. Nsoro is probably a little bit more driven by the CapEx cycles at the telcos, and we'll probably see a little bit of seasonality as you go towards the second half of Q4, the beginning of Q1 until all of the next year budgets are approved and fully funded.
Eric Kainer – ThinkPanmure : Okay. Thank you very much, and good luck.
Jose Mas: Thank you, Eric.
Operator: And we'll take our next question with Liam Burke with Janney Montgomery Scott. Please go ahead, sir.
Liam Burke – Janney Montgomery Scott: Thank you. Good morning Jose.
Jose Mas: Good morning, Liam.
Liam Burke – Janney Montgomery Scott: Can I ask you a question on pricing? It looks like pricing, despite the fact that there are some potential project cutbacks, is holding in pretty well. And you mentioned on the wireless side that the contracts are a little different or they are structured a little different than traditional construction projects. Could you give me a sense as to whether or not pricing will hold its own, even in an environment that may be a little softer?
Jose Mas: Yes, it's a good question, Liam, and I think it will. I think it's important, the relationship and the reputation that we've been able to build across the different segments of business that we're in and I think that those relationships and the quality of work that we've done have really been able to prove that MasTec is the right solution for many of our customers really insulates us a little bit more than maybe historically from pricing pressure. To this point we haven't seen the pricing pressure, we're still seeing strong competition out there, and fair competition, and we actually expect it to continue. So we haven't, despite what's been happening in the economy the last couple months, we really haven't seen it affect pricing yet. Okay. And just Bob, on the margin question. You don't have any more contracts that are running off any more, that you'd had in the 2007-2008 timeframe? 2007, early 2008?
Bob Campbell: No. I presume you're talking about lost contracts?
Liam Burke – Janney Montgomery Scott: Right.
Bob Campbell: No. To be perfectly honest and there is a modest tiny little lost job accrual on our balance sheet, but it would round to zero.
Liam Burke – Janney Montgomery Scott: Okay.
Jose Mas: We really have run those off by now.
Liam Burke – Janney Montgomery Scott: Okay. Thank you.
Operator: Once again (operator instructions.) We'll take our next question with Paul Bonenfant with Morgan Keegan. Please go ahead, sir.
Paul Bonenfant – Morgan Keegan: Yes, I thank you. Wondering if you could help us out with the calendar year '09 forecast? Given the delay in closing the Wanzec deal, how should we think about the prior forecast that you had issued coincident with the acquisition announcement back in early October? I guess at the time the expectation was that it would close later in the month. I'm asking specifically relative to the forecast for sales of 1.95 to 2 billion, and an earnings per share in the range of about $1.05 to $1.15.
Jose Mas: So Paul, at this point, we're not changing our 2009 guidance. We're working hard to hopefully close the Wanzec acquisition at year end. I think that to give you probably the clarity that you're looking for, for whatever reason the Wanzec transaction does not close, as we look at 2009 and back out their contributions, we would probably expect revenues to increase somewhere in their mid teens or lowering the revenue forecast for '09 somewhere between four and $500 million as a wide range. And from an EPS or income side we would probably at the lower end of the previously stated guidance. So not a significant amount of change to '09. Obviously revenue would be impacted if we didn't close the transaction, but from an earnings perspective it wouldn't have a big impact. We're still shooting for our targeted guidance margin range of 6 to 8%. We guided it with the low sixes we would expect that to happen in 2009 with or without Wanzec.
Paul Bonenfant – Morgan Keegan: Okay, that's helpful. And it does sound like you're fairly confident that that deal will close before the calendar year end.
Jose Mas: Well, we hope so. We're going to work hard on it and as we said earlier, we're going to make a responsible decision. We're currently going through all the alternatives that exist for us and that's our intent.
Paul Bonenfant – Morgan Keegan: Now can you comment by any chance on what those alternatives might entail? I think a lot of us are thinking that that deal would be financed with some kind of equity financing, which would lead to a share count increase. Just trying to help us out in our modeling if you could, not trying to pin you down on what that financing might be, but maybe just discuss what options you're looking at?
Jose Mas: You know Paul, I think we're looking at all options. And I know that's a general and vague answer. I think what we said in our comments earlier was that we have no intention of closing this deal solely with equity at or near current prices. We think that our stock is obviously significantly depressed. We think that we are in an extremely good position relative to the market today and relative to where we think the market's going to be over the next couple of years. I think that the performance of this company has been consistent, has been as good as ever, and we think obviously our stock price does not reflect that. So we continue to be hopeful that as investors learn more about the success that MasTec's having, about our business going forward, about our 2009 projections, about what we're seeing in our different industries, we're optimistic that people will look at MasTec differently and reward us for the success that we've had and the success that we expect to have.
Paul Bonenfant – Morgan Keegan: Okay, fair enough. Next question it might be a little bit early to ask but have any thoughts on the impact of the recent election on trends in wind power beginning next year?
Jose Mas: We think it's fantastic. I mean again, we talked earlier about the Obama administration's plan to mandate alternative energy sources -- obviously some big numbers that are being thrown around. Yesterday they talked about a 150 billion incentive package over 10 years directly related to alternative energy. The 20-25 plan that he's putting out in terms of the percentage of alternative energy. Those plans are significant. Those are probably the most aggressive numbers that we've seen over the course of the last few years since we've been involved in wind. So if he lives through with what he said and hopefully we'll get good indication over the next couple weeks as they begin to set their legislative agenda for next year, we think that that could be extremely positive, and we're actually optimistic about that.
Paul Bonenfant – Morgan Keegan: Okay, thanks. And one last question if I may, relative to your DirecTV business. I'm wondering if the slowing consumer spending might lead to fewer HDTV upgrades and what your thoughts are there specifically with regard to how the mix in that business might be shifting with regard to installation versus upgrades.
Jose Mas: Well, we obviously didn't see it in our numbers in the third quarter, 14 % sequential increase in a year over year growth despite obviously the loss of the AT&T relationship, which had a significant impact on MasTec specifically. We're actually seeing very strong activity. We think they've done an incredible job at positioning their product and weathering the downturn economic cycle. We think they're continuing to be well positioned. We think they will do very well through the retail season. So we actually expect -- as we said on our last call, we actually expect the second half of this year to be up in both quarters and we expect the DirecTV business to be up in the fourth quarter of this year versus fourth quarter last year.
Paul Bonenfant – Morgan Keegan: Thank you for taking my question.
Jose Mas: Thank you Paul.
Operator: And we'll take our next question with Min Cho with FBR Capital Mortgage. Please go ahead.
Min Cho – FBR Capital Mortgage: Good morning, gentlemen.
Jose Mas: Good morning, Min.
Min Cho – FBR Capital Mortgage: A couple of questions for you. Well first of all congratulations on a very good quarter. But in the third quarter, how much of the revenue of upside came from positive hurricane impact?
Jose Mas: You know, Min, it was actually minimal. It was a couple million dollars, and when you look at MasTec, I think we're better equipped to handle storms on the east coast just because we have such stronger presence on the Eastern seaboard, we had some customers that obviously released our crews and allowed us the opportunity to work in some of the storm-affected areas, so I think revenues were probably somewhere in the 3 to 4 million range, but unfortunately we wish we could have done more. I think the other side of it is, we're actually extremely busy completing some large projects and some of our -- obviously we couldn't necessarily move those people because of some time frames around those projects. So it didn't have as big of an impact as a storm on the east coast would, or even storms in quieter periods.
Min Cho – FBR Capital Mortgage: Okay. But that just shows how strong your quarter actually was. You didn't get -- since you didn't get much help from the hurricanes, there. Also in terms of your costs of goods. In that commentary, in the past we have mentioned there is a decrease installed to the home head count to help some of those costs. Can you talk about -- is that just from attrition, are you actively cutting heads on the Direct TV home install business? If you could talk about that trend, please.
Jose Mas: You know, we've been talking a long time about -- I think you're looking at a year over year comparison, resources went up Q2 to Q3, went down year over year. I think last year, obviously, we had our difficulties with DirecTV. We were in a massive hiring ramp up, I think there were a lot of inefficiencies as a company and what we said for the last year and a half is we always felt that was a business where we could make tremendous efficiency gains by better managing the business, by better focusing on the operation of the business. Obviously revenue growth slowed in that business this year, which I think has given us some great opportunities to do that. I think we are running a better operation, both economically and from our customers' perspective. We think we're performing extremely well for them, and I think we're being more efficient. So I think that's good management is well as some changes in what happened in Q3 last year versus Q3 this year. And Min, just to your earlier point, and I'd like to repeat it again, and I know I said it earlier, but one of the things that we're very pleased about in our third quarter was the fact of the strong performance across the board. Our earnings didn't come from one area. It wasn't a storm, it wasn't an acquisition, it was truly the entire company performed extremely well and we saw significant improvements across the board.
Min Cho – FBR Capital Mortgage: Excellent. And then a final question for Bob. Just to get a clarification. So your EPS guidance for 2009 includes the litigation charges from the first half of the year -- I mean for 2008, I'm sorry. Yes.
Min Cho – FBR Capital Mortgage: Okay. That is a pro forma—
Bob Campbell: Yes, right. It includes, it is after the negative impact, roughly five cents. So the 93 to 96 cents includes the e impact of that.
Jose Mas: Just to add to that Min, I think that when we originally issued guidance last year or early this year, we said that our guidance did not include any impact of negative litigation. And I think in spite of those negative charges for litigation charges we've been able to beat that original earnings forecast three times. I think that's important.
Min Cho – FBR Capital Mortgage: Okay. Great. Thank you, good luck.
Jose Mas:
Operator: We'll take our next question with Todd Mitchell with Kauffman Brothers. Would you please go ahead.
Todd Mitchell – Kauffman Brothers: Good morning, gentlemen. I have a question about the DirecTV business, and a matter of some of the dynamic may change when the AT&T territories come on line in your area. Specifically, can you talk to me -- somebody there already asked about sort of the shift in mix, how that might impact it. But also you've mentioned that at times that you're a pretty significant source of gross adds for them can you address how, now having another big marketer in your market might impact that, and is that a material part of your -- is it the piece for getting them gross ads for a material part of that business?
Jose Mas: So, couple things on that, Todd. I think that obviously you reference our retail business with DirecTV, which we've done very well at. I think that that business performed very well even during the time that AT&T had a marketing arrangement in a lot of those states. So I actually think that the marketing channels are very different, and that there's not a lot of overlap, so we don't see the AT&T relationship as a negative to that business. We just see it as more marketing channels. We don't think they necessarily compete with our specific marketing channels. So we're not very concerned about it. And we don't think it will have much if any affect in 2009.
Todd Mitchell – Kauffman Brothers: Can you give me some kind of idea of how material that business is? I'm assuming it's not that material at the top line, but it's fairly high margin component of it?
Jose Mas: You know, Todd, we don't disclose revenues or earnings by different segments of our business, so we're not going to do that.
Todd Mitchell – Kauffman Brothers: Okay. All right. Well, thank you. Oh, one last question. Somebody asked you did the hurricane impact on the previous quarter. Did you expect a positive impact going forward, still?
Jose Mas: No. you know, we've issued guidance all year without any storm activity. We probably had a couple of people in early October in some of those areas, but it will be negligible.
Todd Mitchell – Kauffman Brothers: Okay. Thank you very much.
Jose Mas: Thank you.
Operator: And we'll take our final question with John Rogers with D.A. Davidson. Please go ahead.
Tristan Richardson: Good morning, hi, this is Tristan in for John.
– D.A. Davidson: Good morning, hi, this is Tristan in for John.
Jose Mas: Good morning, Tristan.
Tristan Richardson: Just a question as it relates to your gas business. What are you hearing from your customers regarding maintenance budgets or prospects for new lines out into 2009?
– D.A. Davidson: Just a question as it relates to your gas business. What are you hearing from your customers regarding maintenance budgets or prospects for new lines out into 2009?
Jose Mas: You know, to date we're actually seeing a lot of strength in that business. And during the quarter we actually had to turn away some jobs that we couldn't man. No question that that business has changed a lot in the last 30, 60 days, and we're monitoring that closely. I think what's important as you think about MasTec is while that's becoming a more considerable piece of our business, it doesn't take a lot of projects to really get us to the levels that we need to get to. So it's not like we're expecting significant growth in the gas industry for us to continue to see growth. I think we've got a couple of customers that have been very good to MasTec, a couple customers that we think rely on us. And with those specific customers as we look into the balance of 2008 and 2009 we expect business to be strong, we expect business to be at where we forecasted it going into '09. And we actually spent a lot of time on that in the last couple weeks in terms of making sure that what we're thinking is going to happen in 2009 is really being corroborated by our customers and we think we've done that.
Tristan Richardson: That's great. Thank you. Congratulations again on the quarter.
– D.A. Davidson: That's great. Thank you. Congratulations again on the quarter.
Jose Mas: Thank you.
Operator: And that does conclude today's question and answer session. I'd like to turn the conference back over to Mr. Jose Mas for any additional or closing remarks.
Jose Mas: So once again I'd like to thank all of you that have supported us and encouraged us this quarter. A special thank you to the men and women of MasTec who helped make this quarter the best in MasTec's recent history, and I look forward to our fourth quarter call. Thank you very much.
Operator: Once again ladies and gentlemen this will conclude today's conference. We thank you for your participation. You may now disconnect.